Operator: Good afternoon, and welcome to Reed's First Quarter 2024 Earnings Conference Call for the 3 months ended March 31, 2024. My name is Chris, and I will be your conference operator for today. We will have prepared remarks from Norman Snyder, Reed's Chief Executive Officer; and Joann Tinnelly, Reed's Chief Financial Officer. Following their remarks, they will take your questions. Before we begin, please take note of the company's cautionary statement. Today's call will include forward-looking statements, including statements about Reed's business plans and 2024 guidance. Forward-looking statements inherently involve risks and uncertainties and only reflect management's view as of today, May 14, 2024, and the company is under no obligation to update them. When discussing results, the presenters may refer to non-GAAP measures, which exclude certain items from reported results. Please refer to Reed's first quarter 2024 earnings release on Reed's investor website at investor.reedsinc.com in its first quarter 2020 Form 10-Q expected to be available on the website on March 14, 2024, for definitions and reconciliations of non-GAAP measures and additional information regarding results, including a discussion of factors that could cause actual results to materially differ from forward-looking statements. I will now turn the call over to Mr. Snyder. Please go ahead. 
Norman Snyder: Thank you, operator, and good afternoon, everyone. We appreciate you joining us today to discuss our first quarter 2024 results. We continue to execute on our cost-cutting and optimization initiatives in the first quarter, leading to material improvements in gross margin, operating expenses and modified EBITDA. I'm proud of our team's hard work to consistently drive savings across our business, enabling us to achieve our seventh consecutive quarter of year-over-year operating expense and profitability improvements. As we mentioned during our earnings call in March, sales in Q1 were impacted by short orders, reducing shipments. We have taken the appropriate steps to build our inventory levels and to add capacity through a new co-packing partnerships. As a result, we exited the quarter with healthier inventory levels and have seen a significant month-over-month reduction in a number of short shipments since January, which we expect to decline further moving forward. I would also like to add that during the 4-week period ending April 21, 2024, IRI unit sales increased 9% in the Grocery segment, reflecting the impact of reduced short shipment orders. Further, retailers who experienced a lower level of short shipments saw strong double-digit growth during that same period. By maintaining appropriate levels of inventory, we remain confident in our ability to deliver on our growth and profitability targets for 2024. Turning to a few recent updates on our key product categories based on unit sales from IRI, Milkoscan data for the forward period ending April 21, 2024, which is defined as multi-outlet and convenience in the food, grocery, drug, mass, Walmart, club, Dollar stores and military channels and VIP data, which is a tracking software for distributor-based shipments. Reed's Inc Ginger Ale beer generated 8% year-over-year growth. Ginger Ale grew 9% during the 4 weeks ended April 21 compared to the year ago period. And our Virgil's Craft seller portfolio, root beer 13% year-over-year increase in unit sales. For our ready-to-drink alcohol portfolio, we experienced a 10% increase compared to the year ago period. We are making progress on our new product road map by leveraging our fresh organic ginger to create a catalog of beverages in the better-for-you category. We always prided ourselves at our commitment to using the highest quality natural ingredients while delivering a bold premium taste. We're excited to unveil these products later in the year and look forward to providing our customers with a new innovative portfolio of offerings. As I mentioned earlier, we made solid progress in our cost cutting and optimization initiatives in Q1, leading to a more than 1,000 basis point increase in gross margin and a 23% reduction in operating expenses compared to the year ago period. Our strong improvement in gross margin was driven by our ability to materially lower cost, increase the mix of cans versus bottles and implement more consistent pricing applications across channels. For delivery and handling expenses, we saw a 29% reduction in the quarter to $3.01 per case compared to $3.46 per case in Q1 of 2023. We drove these savings by renegotiating freight rates or heavily traffic lanes, improving throughput and generating efficiencies from our streamlined distribution model and new co-packing partnership. We anticipate our renegotiated freight contracts to lead to more than $1 million in annualized cost savings. We'll continue to evaluate our delivered handling expenses to ensure that we're running as lean and efficiently as possible. Quickly touching on our new co-package partner, Battle Copacking. We kicked off our partnership during the quarter, which enhanced our production capabilities for both bottles and cans in the Southeast region. In just a few weeks, we've already realized operating efficiencies and cost savings from this partnership. We're pleased with our progress thus far and look forward to building a long-standing partnership with Battle. We also saw a 24% year-over-year reduction in selling and marketing expenses due to our efforts to create a more efficient go-to-market strategy to streamline our sales process. Turning to our first quarter and recent sales and operational highlights. To start, we are set to kick off our first market product launch in Sprouts with Virgil's full sugar handcrafted soda cans and black cherry, cola, vanilla cream and root beer flavors and multipacks and single cans beginning tomorrow on May 15. We also expanded our alcohol assortment at Sprouts with the addition of our Ginger Ale. And Whole Foods after a strong performance during last year's national off-shelf program, we received a second national authorization for our alcohol assortment starting June -- in June 2024. Additionally, after a successful test launch in the summer of 2023, or Ginger Ale has been subsequently added to Whole Foods core product sets. Next, we launched Zero Sugar packs in Costco's, Texas locations with plans to launch our new 7.5-ounce Ginger Beer mini cans in all business locations nationwide. We are also working with multiple regions to extend our club channel offerings as we look to expand product assortment and enhance our partnership with Costco. Additionally, we expanded distribution with the Wakefern Group operating under the banners of Shoprite, Price right, Fairway and SRS by adding more than 2,600 points of distribution for our Reed's product portfolio. We have also added over 1,000 stores with Giant Eagle that currently sells our Ginger Beer cans, Zero Sugar ginger beer cans and all 4 of the new Virgil's handcrafted cans. Looking at broader channel opportunities, we have identified specific customer and geographic targets for our initial rollout into the on-premise channel. We believe this channel, which has been untapped at date will increase trial and brand awareness of our reach products. We have plans to expand our on-premise efforts with the launch of our 7.5-ounce ginger ale mini cans later this year. In our e-commerce business, we continue to see promising results as we've experienced month-over-month growth since the beginning of the year. We're also in the process of launching our new Virgil cans on both Shopify and Amazon this week with plans to add additional online sales channels over the summer. This channel represents a small portion of our business today, but we are optimistic about its progress, and we'll continue to invest resources as it becomes a larger revenue contributor in the future. Looking ahead, we are reiterating our 2024 financial outlook as we continue to expect net sales growth, gross margin expansion and modified EBITDA profitability while generating positive cash flow from operations for the full year. We have several key initiatives to drive growth as we improve order fulfillment rates, expand product authorizations, increased promotional activity and launch new innovative products targeting the better-for-you category. We will maintain a lean discipline to ensure we're running an efficient operating model. Between these initiatives, our improved inventory levels and our optimized cost structure, we are poised for a strong second quarter and year ahead. Before wrapping up with closing remarks, Joann will cover our financial highlights for the quarter in more detail. Joann, over to you. 
Joann Tinnelly: Thanks, Norm. Diving into our results, all variance commentary is on a year-over-year basis unless otherwise noted. Net sales for Q1 2024 were $9.6 million compared to $11.2 million in the year ago quarter. The decrease was primarily driven by tightened credit terms from select suppliers that caps our purchase of raw materials, resulting in an inflated rate of short order shipments. Gross profit for the first quarter of 2024 increased 26% to $3.4 million compared to $2.7 million in the same period of 2023. Gross margin increased 1,140 basis points to 35.6% compared to 24.2% in the year-ago quarter. The increase was primarily driven by lower supply chain and input costs. Delivery and handling were reduced by 29% to $1.5 million during the first quarter of 2024 compared to $2.1 million in the first quarter of 2023. The decrease was primarily driven by renegotiated freight rates for heavily traffic lanes, improved throughput as well as efficiencies generated from our streamlined distribution model and new co-packing partnership. Delivery and handling costs were reduced to 16% of net sales or $3.01 per case compared to 19% of net sales or $3.46 per case during the same period last year. Selling, general and administrative costs decreased 19% to $2.6 million during the first quarter of 2024 compared to $3.2 million in the year ago quarter. As a percentage of net sales, selling, general and administrative costs were reduced to 27% compared to 28%. Altogether, operating expenses reduced to $4.1 million or 42% of net sales compared to $5.3 million or 47% of net sales in the year ago period. This reflects our tireless efforts to optimize our cost structure and improve our operating margins. Operating loss during the first quarter of 2024 improved to $0.6 million or $0.16 per share compared to a loss of $2.6 million or $1.01 per share in the first quarter of 2023. Modified EBITDA loss improved to $0.4 million in the first quarter of 2024 compared to $2.3 million in the first quarter of 2023. For the first quarter of 2024, cash used in operations was $2.4 million compared to cash flow from operations of $1.1 million in the same period in 2023. The decrease in operating cash flow was primarily driven by higher inventory purchases compared to the year ago period as we look to improve the rate of short order shipments moving forward. As of March 31, 2024, we had approximately $0.3 million of cash and $26 million of total debt, net of capitalized financing fees. This included $18.2 million from a convertible note and $7.8 million from our revolving line of credit, which has $5 million of additional borrowing capacity. I will now turn the call back over to Norm for closing remarks. 
Norman Snyder: Thank you, Joann. I'd like to convey my appreciation for the entire REIT team and their consistent efforts to optimize our business and lay a solid foundation for the remainder of 2024. We are intently focused on returning to growth and preserving healthy gross margins above 30%, while maintaining a lean fixed cost base and drive operational leverage in our business. These initiatives, coupled with our ongoing efforts to bolster our inventory position will enable us to deliver on our growth and profitability goals in the year ahead. Operator, we will now open the call for questions and answers. 
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. one. [Operator Instructions] Your first question comes from Sean McGowan, Roth. 
Sean McGowan: I have a couple of questions, if I may. One, nice job on the gross margin recovery there. Just curious as to what degree might that be helped by the mix? In other words, how sustainable is this at a more complete offering of product? Was there anything kind of lower margin that wasn't shipping that might affect that? Or is this kind of a rate we might come to expect in the coming quarters? 
Norman Snyder: More the latter. Look, we've taken cost on a lot of elements in our COGS, and we can believe we'll continue to take further savings. The only aspect of product mix has been favorable is the shift in bottles to cans, and that's a trend we don't see slowing down. In fact, we've been really -- I've been surprised by the pace at which we've converted and how both retailers and consumers have received our product offerings in cans. 
Sean McGowan: Can you talk about generally the category of RTD alcohol, like are you seeing overall trends in the category continue to be favorable? I know it sounds like your sales are going quite well, but has there been any slowdown in the category? 
Norman Snyder: Look, I think there's been some of the bigger players that came out really strong have seen a pullback in their sales, but I think that's because of competition and more offerings, which I think bodes well for us and obviously why we're seeing growth. So I'm not really -- I think the overall category continues to grow. I think consumers are looking for better for you, more premium products. And I think that's something that we offer and believe we'll continue to see growth. 
Sean McGowan: And then a couple of sort of housekeeping questions on the balance sheet. So this equity offering that's on the balance sheet as a safe -- is that -- I assume that just that sale is complete as of the second quarter, so that becomes kind of additional paying capital then? 
Norman Snyder: Yes, that will convert to equity, and we expect that to be completed during the second quarter, yes. 
Sean McGowan: And would there be additional cash raised? I seem to remember this kind of came in multiple bids or at least that's the way I built the model. Like is there some amount of cash that was raised in the first quarter and some in the second quarter? 
Norman Snyder: Yes, it will be split. The majority was in the latter part of the first quarter, but there's still interest and complete that during this quarter. 
Sean McGowan: Yes. Okay, that's what we have built into the model. So I appreciate that. And like how many shares outstanding are there like as of right now? 
Norman Snyder: In the Q, there's 4, 187,000 shares that are outstanding. -- that out -- that does not reflect the safe offering. 
Sean McGowan: Okay. All right. Well, I guess, whenwill the cue be out in a couple of days. 
Norman Snyder: Q will be out tomorrow. Okay. Sean. I realize we haven't filed that yet, so that's -- that out tomorrow.Â 
Operator: Your next question comes from Gary Gates. 
Gary Gates: With the Safe offering, do you know at what price the shares will be converted? 
Norman Snyder: No, that's to be determined. I think there's -- I mean there's a provision in there, obviously, to -- we set a floor, but it will be -- the price will be the better off. So -- and again, that's to be finalized. 
Gary Gates: Do you know what the floor is? 
Norman Snyder: We -- I think we set it, I want to say, like at $1.50, I believe we set it at. Okay. Good. Good. 
Gary Gates: Then -- okay, here's my big question. I give you and the entire company, a lot of credit for trying. Right now, we're slowly headed to cash flow positive from operations, but there's very little cash on the books and we also have interest expense, which leads to more debt and more shares ultimately being interested being more shares being outstanding. So where do you see this headed to and over what period of time? I'm speaking as an investor. 
Norman Snyder: Well, we can't -- there's -- the debt has a blocker on what percentage they can own. It's capped at 9.9%. So there's not a lot of additional shares that can be issued to go to pay down that debt. And remember, a lot of the the interest half of its cash, half of it's pick. So it's not all due and immediately pay for. So look at -- I think we've write the shift from a fundamental business perspective and are no longer burning cash from operations. Catching up with our inventory will allow us to ship more product and generate positive cash flow. And we will continue to work with our lenders to work out a situation that's favorable to all parties and an effort to really bring that debt load down. 
Gary Gates: Okay. I recognize that part of the debt is picked. But when do you see Reed getting to a point of being cash flow positive, not only from operations, but also from a debt standpoint? 
Norman Snyder: That is our current focus. And I'd like to say towards the latter part of the year, where we're generating enough cash to both cover our operations and service our debt requirements. Obviously, the -- we've made tremendous progress with our gross margin. We've made tremendous progress with our transportation cost, and we're not done with that. We continue to bring down our SG&A costs which just translates into -- as we grow our top line translates into generating more cash. 
Gary Gates: And any feedback from last year's investor Shufen Deng on what she wants to do with the company? Earlier, there was talk about her trying to introduce Asian products into the U.S. 
Norman Snyder: No. Actually, I think it's the opposite way. The focus is really stabilizing and growing the business domestically and then utilizing their Asian contacts to export our products into the Asian market, not bringing Asian products into the U.S. market. So to continue to build Reeds and to leverage our brand equity in foreign markets where they have a lot of contacts and understand the marketplace and are willing to support that. 
Gary Gates: And one last question regarding the Ginger Wellness products. Any thought of offering something for weight loss, which seems to be one of the biggest categories in health care these days? 
Norman Snyder: Well, look, I've said this a lot of times, and I'll continue to say it, that one of the big trends in both food and beverages has been our health plant-based drinks and food. And Ginger is a plant-based item. We're the only mass ginger beer and Ginger Ale that uses real Ginger in their products, which to me is a big, big point of difference, particularly compared to our competition. And we believe that is a great point to leverage future innovation, and we're working on some pretty, I think, interesting new products that will really resonate with today's consumer and some of the benefits they're looking for and really leveraging not only ginger but some other advances in research that we've done to make some very, very, very great products and are excited about that. Really, again, front and center, the efficacy of ginger and being plant-based and REIT being a leader in that category and really capitalizing on that and producing premium naturally really good products.Â 
Operator: Your next question comes from Will Bendigo Private... 
Will Bendejo: On the RTD stuff, I think I caught the tail end of this, the Whole Foods, is that a nationwide rollout in June? And then is Sprouts nationwide as well? And what's the timing on them? 
Norman Snyder: They're both nationwide, except for a couple of states where we have gaps with distribution, with alcohol, you can't go direct, you have to go through a 3-tier distribution system. So we're trying -- the big gap that we're trying to fill is in Texas, but in a majority of their locations, we're in all the stores. And -- so there -- it is national. And we've been national with Whole Foods. We're just expanding by adding the ginger ale and then doing... 
Will Bendejo: Yes, it was really coming on the hard ginger ale... 
Norman Snyder: Another national promotion, which we did last year very successfully. And then we're expanding our presence in Sprouts as well. So I think just to reiterate, as I've said previously, what we've done is we've kind of scaled back rather try to be everywhere with these products really start in retailers that we have high brand recognition and strong consumer following and leverage that, and we've done that pretty successfully with not only Sprouts and Whole Foods, but we've done it with Trader Joe's as well. So -- and then we're building and we picked up another bunch of new authorizations as the weather gets warmer with the chains that we've done well with and are growing with our entire portfolio. So it's a real measured rollout that we can provide the proper focus and support behind and not get too far out of our skis. And we've seen with a slower approach, it's paid dividends, and we've had growth as a result as opposed to trying to be everywhere at once and not be able to really prioritize and focus. And these are -- look, these are retail chains that we have long-standing and very deep relationships and partnerships with and are working together to build our entire brand portfolio.Â 
Will Bendejo: That's good to know. Do you anticipate the Hard Ginger rolling out in Trader Joe's anytime soon? 
Norman Snyder: We're working on that. I mean, we've -- there were very interested in starting with the Mule. And I think as we continue to progress there, we can make an introduction for the Hard ginger. 
Will Bendejo: Lastly, I mean you guys have commented that you're on track to kind of hit your revenue and cost goals. Can you share what those are really primarily to a revenue sales outlook? I know 2024 was the rollout of the new sales implementation. But calling a spade a spade, we just did the same number of sales we did in Q1 of 2020. So if you guys anticipate coming out swinging with a $15 million, $20 million quarter here later in the year? 
Norman Snyder: Well, look, we -- I think what we've said all along is that we expect double-digit sales growth and we expect continued margin growth. And I think we've demonstrated the margin growth. We expect improved performance on our shipping and handling, and we've done that. I feel good about Q2 right now in the remaining quarters. Look at Q1 was a race to build boxes, and we didn't build them as fast as we had hoped, but it takes time. And we've really solidified our inventory positions in both bottles and cans on both coasts, which will drive a lot more efficiencies. And there's a cause and effect relationship that we've seen pretty shortly, and I watch real closely as the amount of short shipments go down, how it translates into throughput at retail. And also with that, we haven't even really begun any sort of promotional activity we've held off in the first quarter, where I know historically, we've started in the first quarter, and it's going to be middle second quarter where our promotional activity will kick in. So I think we're going to get a boost from just being in stock and reducing short shipments. We're going to get a boost from our promotional activity kicking in. And these things kind of play off and create a cadence, which really generates growth, and we'll start to see that in the second quarter of this year. I think when we have our second quarter call, that will be a lot clear to people. 
Operator: There are no further questions at this time. I will now turn it back to Mr. Snyder for closing remarks. 
Norman Snyder: Great. Thanks. I'd like to thank everyone for participating in today's earnings call as well as our employees, customers and, of course, our shareholders. We appreciate everyone's support. We have made solid progress on our 2024 initiatives and look forward to providing an update when we report Q2 results later this year. Thank you, everyone. 
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.